Operator: Good day, ladies and gentlemen, and welcome to the Scholastic's Fiscal Year 2013 Earnings Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to introduce your host for today's conference, Gil Dickoff, Senior Vice President of Treasurer and Investor Relations.
Gil Dickoff: Thank you, operator, and good morning, everybody. Before we begin, I would like to point out that the slides for this presentation are available for viewing on our Investors Relations website, and that's at investor.scholastic.com. I'd also like to note that this presentation contains certain forward-looking statements, which are subject to the various risks and uncertainties, including the condition of the children's book and educational materials markets and acceptance of the company's products in those markets, and other risk factors identified from time to time in the company's filings with the SEC. Actual results could differ materially from those currently anticipated. Our comments today include references to certain non-GAAP financial measures as defined in Regulation G. The reconciliation of these non-GAAP financial measures with the relevant GAAP financial information and other information required by Regulation G is provided in the company's earnings release, which is posted on the Investor Relations website, again at investor.scholastic.com. Now I'd like to introduce Dick Robinson, the Chairman, CEO and President of Scholastic, to begin our presentation.
Richard Robinson: Thank you, Gil. Good morning, and thank you for joining our fiscal 2013 year-end analyst and investor conference call. For this morning's prepared comments, I'm joined by Maureen O'Connell, CFO and CAO. As you saw in this morning's press release, 2013 fiscal year revenue was $1.8 billion, earnings per diluted share from continuing operations was $137 million, excluding onetime items, or $110 million including onetime items, and free cash flow was $59.4 million. Our overall results were greatly affected by lower sales of The Hunger Games, which decreased significantly compared to the trilogy's extraordinary performance in 2012, even as it remained on the New York Times Best Seller List. Despite this revenue decline, we achieved the high end of our revised guidance for revenue and exceeded our revised earnings per diluted share and free cash flow targets for the year. This is the result of sales growth in the Education groups in the second half of the year and particular strength in our customized classroom books and Guided Reading Programs in the fourth quarter. We also continued to advance our digital strategy, including launching System 44 Next Gen and preparing to introduce 4 additional major new Ed Tech products, all built on the base of our foundational Read 180 program, during fiscal 2014. Investments in Storia, our ereading platform and delivery system, were on plan and revenue was in line with our expectations. A main driver of our results this year of our future growth is the changing landscape of the Education business. Teachers and schools around the country are now implementing the Common Core State Standards, which will rekindle our national discussion about how we best help students become college and career ready and grow into successful individuals and citizens. Districts are striving to prepare students to meet the new and more rigorous standards and to add more technology in the classroom, particularly tablets. This means that they need professional development and human capital solutions, a wide range of education products and content available with print and digital formats and data-driven formative assessment tools, as well as services to support learning. Working with districts, Scholastic provides all these elements in a comprehensive program to drive student achievement. Our approach is opening up major opportunities to engage at a higher level within districts and respond to RFPs for total learning solutions from pre-K to 12. School districts are looking for help to manage the significant transition to a changed curriculum and are highly receptive to Scholastic's partnership approach. We are well positioned to continue to be the trusted proven provider that can best meet the changing needs of our customers and engage kids with both print and digital materials to improve learning. We've already received great feedback from teachers and administrators about how our extensive product offering and additional tools can help them. System 44 Next Gen, launched at the end of the fiscal year, has been very well received. This reading program for the most challenged readers in Grades 3 to 12 provides explicit instruction in phonics, comprehension and writing. Our additional major new product introductions are also on track and all will begin to ship by August. Math 180 is our revolutionary math intervention program for the Common Core. Designed for struggling students in Grades 6 and up, this program builds students' confidence and competence in Math while providing teachers with comprehensive support to ensure success. iRead is the digital foundational reading program designed to close the achievement gap before it begins and place all K-2 children on the path to academic success. Read 180 for the iPad will be ready for back-to-school and will support those schools who are buying iPads for classroom instruction. Common Core Code X was built specifically to address the demands of the Common Core State Standards. It supports teachers with text for students to read, analyze and write about every day. This program was developed with input from the New York City Department of Education and was recently listed as an approved curriculum for use in their middle schools district wide. Our suite of products will provide students the programs they need to succeed, from the time they enter kindergarten to the time they graduate from high school. We are confident that these programs will help students gain the skills and knowledge base they need to succeed in a rigorous Common Core classroom and for college and career readiness. The Common Core State Standards and demand for digital content are also providing opportunities for our Children's Book business. To meet the new rigorous standards, children need to read more and read at a higher level. Parents and teachers have always depended on Scholastic as an unparalleled, curated source for discovering and purchasing just the right books for children's interest in reading levels. Our trusted clubs and fairs are even more important as the book business continues to change. In fact, a recently completed third-party market research report found that parents are increasingly relying on our Book Fair and Book Club channels, to find age-appropriate, top-quality children's books for both independent reading and to support classroom learning. Accordingly, we have introduced clear, grade-specific marketing in Clubs that is well aligned with the Common Core, which we believe will help to increase revenue per order. In addition, we are implementing cross-channel sales and marketing programs in our Clubs and Fair businesses. This collaboration will increase our customer touch points and strengthen our ability to provide books in print and digital formats that can help children link their independent reading to Common Core-driven skill development. Scholastic and Storia, our award-winning children's ereading app and ebook purchasing system, are ideally situated to be an important platform in schools and with consumers, as the children's ereading market scales from its current level, which we believe is currently less than 10% of all children's and young adult sales, excluding The Hunger Games trilogy. At the same time, we are seeing significant interest in Storia from teachers who use the platform in the classroom. In fiscal 2014, our investments in Storia will be substantially lower than they were during the initial development period, as we focus on adding more children's book favorites and content and enhancing the Storia dashboard to make it even more useful in the classroom, including student tracking functionality. We will, of course, continue to make Storia ebooks readily available through our Clubs and Fair channels for families, making the transition to children's ereading. Our book distribution channels are a critical element of our ability to foster our connection with students, parents and teachers. And this is largely because they facilitate a continued supply of best-selling titles, including those from our Trade Publishing group. We had strong performance from our front and back list in 2013 and have an exciting lineup of titles for fiscal 2014. We are continuing to work with Lionsgate to promote The Hunger Games books to new readers of all ages, ahead of the November 22 Catching Fire film release. We are also excited about Spirit Animals, our multi-platform fantasy adventure series, and about the launch of the new trade paperback editions of the Harry Potter series with new cover art and the colorized addition of the Adventures of Captain Underpants by Dav Pilkey and new nonfiction titles to support Common Core. Summing up the opportunity for the -- in the Common Core standard, one of our top literacy consultants, Pam Allyn, has said, "This is an extraordinary moment for parents, teachers and publishers. It is the first time there has been a document that lays out, not a curriculum, but a set of ambitious goals." Meeting these goals will be extremely challenging for many educators and students. With the trust we have established with districts all across the country, it is not surprising that schools have turned to us to help them solve their greatest challenges, whether preparing their teachers, helping their struggling students or building quality fiction and nonfiction grade-appropriate book collections. We are laser-focused on capitalizing on the significant opportunities the changing buying behavior and new needs in the classroom have presented for our Children's Book and as well as our education businesses. With that, I would like to turn the call over to Maureen to review our fourth quarter and fiscal year results in further detail.
Maureen E. O’Connell: Thank you, Dick, and good morning, everyone. Let me begin with the income statement. For the full year, revenues declined 16% versus last year to $1.8 billion, largely driven by lower U.S. and international sales of The Hunger Games trilogy. This was partially offset by strong educational sales and particularly strong sales of our classroom books in the second half of the year. Cost of goods sold in fiscal 2013, as a percent of sales, was roughly even with last year at approximately 46%. SG&A declined by $59.6 million compared to the prior year due to lower employee-related expenses. SG&A included onetime expenses of $13.6 million related to cost savings initiatives in the year and $9.3 million in the previous year due to a voluntary retirement program. Earnings per share from continuing operations was $1.10 compared to $3.39 a year ago. Consolidated earnings per diluted share was $0.95 compared to $3.21 last year, including onetime expenses of $0.27 and $0.29 per diluted share, respectively, related to cost reduction and restructuring programs. Excluding the onetime items, fiscal 2013 earnings per diluted share from continuing operations were $1.37 versus $3.68 in fiscal 2012, which exceeded our revised guidance range. The decline in net income was largely the result of lower revenues, particularly from lower Hunger Games sales, as well as our planned investment in digital initiatives, partially offset by cost-cutting measures. Our cost savings actions delivered savings of approximately $40 million this fiscal year. Onetime costs were approximately $14 million. Segment revenues in Children's Book Publishing and Distribution was $846.9 million, and operating income was $24.5 million. Segment results reflected decreased sales of The Hunger Games trilogy compared to fiscal 2012 and lower revenue per order in School Book Clubs, partially offset by increased revenue for School Book Fairs. In Educational Technology and Services, segment revenue for fiscal year was $227.7 million and operating income was $29.5 million. Results were driven by increased demand for our professional development and consulting businesses throughout the year, stronger sales of Educational Technology products in the second half of the year and the launch of System 44 Next Generation in the fourth quarter. As a reminder, last year, we benefited from higher revenues related to Read 180 Next Generation launch and a significant sale of adoption product in Texas. In Classroom and Supplemental Material Publishing, segment revenue for fiscal year was $218 million, and operating income improved significantly to $29.6 million due to increased classroom books sales as well as strong revenues from Classroom Magazines and other nonfiction content aligned to Common Core State Standards. In International, segment revenue for the fiscal year was $441.1 million and operating income was $39.8 million. Foreign exchange had a negative impact on revenue of $3.9 million in the year. Segment results were primarily driven by lower revenues in Canada and Australia, as a result of lower Hunger Games sales. In Media, Licensing and Advertising, segment revenue for the fiscal year was $58.7 million and operating income was $4.7 million, primarily reflecting our planned decrease in low-margin console sales. Corporate overhead expense was $60.2 million in fiscal 2013 compared to $87.1 million in the prior year, including onetime items and reflecting lower employee-related expenses and lower incentive compensation expenses in the current period. We maintained a strong balance sheet with no net debt and access to an untapped $425 million credit agreement with favorable terms and conditions. During the fourth quarter, we funded the maturity of approximately $150 million in 5% notes, which matured in April 2013, with borrowings from our revolving credit facility, which has since been repaid. We expect to save more than $5 million in interest expenses moving forward. At year-end, cash and cash equivalents exceeded our total net debt, our total debt by $85.4 million and compared to $35.6 million a year ago. In addition to our quarterly dividend, we repurchased 11.8 million in shares in fiscal 2013 and have approximately $19.6 million remaining under our previously authorized limits for open market share repurchases. During the quarter, free cash flow was $47 million compared to free cash flow of $87.5 million in the prior year period. For the full year, free cash flow was $59.4 million versus $147.6 million in the prior year. Now I'd like to discuss our outlook for fiscal 2014. In fiscal 2014, Scholastic expects to generate revenue growth in all our businesses, excluding the impact of anticipated declines in Hunger Games sales and improved profitability compared to 2013. For 2014, this revenue and profit growth will be driven by 2 major themes. The first is in education. As schools move towards adopting customized solutions that include print and technology elements, Scholastic expects to capitalize on major opportunities in the education segment, based on a greater focus on digital solutions and the implementation of curriculum aligned to the Common Core. Scholastic's 2014 revenue and profit growth will be driven by the company's education businesses as a result of the introduction of new Educational Technology products, including System 44 Next Generation, Math 180, iRead, Common Core Code X, and Read 180 for the iPad, coupled with strong and growing demand for our customized programs provided through the Classroom and Supplemental Materials Publishing segment. The second major theme is in the children's book area. Trends in children's book market are providing more opportunities for our Clubs and Fair businesses to reach teachers, schools and families with books that help children and students link their independent reading to the Common Core Standards. Accordingly, we are aligning resources in our Children's Book business to serve customers in a more unified way and introduce more grade-specific marketing for clubs and schools. Our Children's Book revenue is expected to decrease compared to fiscal 2013 with lower year-over-year sales of The Hunger Games trilogy, which we expect to be partially offset by increased revenue per fair in our School Book Fairs and new titles released through our Trade businesses. We expect Book Club revenue to be flat compared to fiscal 2013. As planned, investment in Storia in 2014 will decrease as platform development has been substantially completed. We expect to have higher depreciation and amortization expenses in fiscal 2014 as a result of past investments. Storia's investments moving forward will focus on content delivery and enhancements, including features designed to make the platform more useful to teachers in the classroom. Internationally, the growing global commitment to expanding English instruction, combined with the launch of our new education unit in Singapore, helped us achieve strong sales in emerging markets. This was particularly evident in India, where we have seen compound growth rate of 20% over the past 3 years. We are now well positioned to expand our product development in English Language Learner programs in emerging markets to drive growth in 2014. We are continuing to implement programs to enhance operational efficiency and to align our cost base with our revenue growth expectations. As a result of these factors, on a consolidated basis, we expect total revenues in fiscal 2014 of approximately $1.8 billion and earnings per diluted share from continuing operations in the range of $1.40 to $1.80 before the impact of onetime items. Fiscal 2014 free cash flow is expected to be approximately $60 million to $80 million. This outlook includes capital expenditures of $55 million to $65 million compared to $56 million in fiscal 2013, and prepublication and production spending of $65 million to $75 million compared to $73.7 million in fiscal 2013. This outlook reflects the impact of our Educational Technology product rollouts and investment in the company's digital initiatives. Now I'd like to return the call back to Gil to moderate a question-and-answer session.
Gil Dickoff: Thank you, Maureen. Before our operator provides queuing instructions for the Q&A session, I wanted to address a few questions that we have received from investors and analysts over the quarter. The first question is on federal funding, specifically, what is the impact of sequestration on local and state budgets and on expenditures for educational materials. Margery, can you answer this question?
Margery W. Mayer: Thanks, Gil. So the budget situation in Washington is complicated, of course. We have not factored changes to the federal budget process into our outlook for fiscal 2014, but we are seeing some positive indications of spending at state and local levels. Most exciting is what's going on in California right now. We expect $1,250,000,000 to be released for educational spending against the Common Core this summer. That money can be spent over the next 2 years and it can be used for a variety of things. But we think a lot of it will go into services and products that are designed for helping schools attain Common Core proficiency goals.
Gil Dickoff: Thanks, Margery. The other topic that has come up in recent conversations is regarding our Ed Tech product introductions and how we expect our new products to contribute to our results in fiscal year '14 and beyond. Again, Margery, can you please answer that one?
Margery W. Mayer: Yes, so we're really excited that we have met our targets on release dates on all of our products. As Dick and Maureen mentioned, System 44 was released in May and so we saw some revenues in the fourth quarter of last year for System 44. And this summer, of course, we're going to have more System 44 and the other products that we talked about earlier that Dick mentioned: Math 180, iRead, Code X and Read 180 for the iPad. We are going to see some revenues for those products in the first quarter, but we'll see -- we think a longer tail on those products through the rest of the year. So we will be seeing sales of those products in the second, third and fourth quarter. And our revenue is going to be more evenly distributed through the rest of the year than perhaps in prior years.
Gil Dickoff: Thank you again, Margery. I have one additional question, which is how do you expect the Catching Fire film release to impact your fiscal 2014 results? Maureen, can you please answer that?
Maureen E. O’Connell: Yes, well, first of all, we're very excited about the Thanksgiving release, and we believe it'll help us introduce new books to new readers of all ages. As you know, with the last movie, we learned a lot. We really watched how this series was different than other series that we've released. And from those sales assumptions, we've based our expectation currently on what we've learned in our past experience.
Gil Dickoff: Thanks, Maureen. Operator, we're now ready for you to provide instructions for the Q&A session.
Operator: [Operator Instructions] The first question is from Drew Crum of Stifel.
Andrew E. Crum - Stifel, Nicolaus & Co., Inc., Research Division: So I have a couple of questions on guidance for fiscal '14. And to start, Maureen, you kind of addressed this, but I just want to get some additional thoughts around expectations for lower Hunger Games sales. You have a film release in the fall, and presumably, an easier comparison on fiscal '13, so just some additional detail there. And as far as the operating earnings are concerned and the guidance there, the bottom end of your range is $1.40, the comp or the apples-to-apples comparison, I would think, is $1.37. You did have some cost cutting last year. You're talking about lower investment spending on Storia and reduced interest cost of $5 million. I just want to get a sense as to what the, I guess, impediments or drags on earnings or offsets would be versus last year?
Richard Robinson: Well, thank you, Drew. I think Maureen started to answer the question on The Hunger Games movie. We are, as she said, we are expecting an impact from the movie. On the other hand, many people have already bought the 3 books, which has been out for several years. So it's -- and we're being a little careful in our projections because we were overoptimistic this past year about Hunger Games sales. But we expect that there will be new readers that are going to be found for these books and that there would be some impact there. But we're, again, we're being cautious. Maureen, you should probably address the second question about guidance and answer any further questions you might have about The Hunger Games movie.
Maureen E. O’Connell: Yes. So operating guidance, as you said, at the low end would be similar to this year, and the high end substantially above this year. And really, the swing factors there is we are launching several new products in our Educational Technology area and there will be prepub amortization against those products. So we won't see the flow through that we will see when they're ramped to their higher levels throughout the year. Also, there are some of the expenses that we are incurring in the past will be depreciating, such as our Storia investment, and that will have an impact on the year as well. I think that the cost-saving plan that we initiated, that saved over $40 million, will benefit next year, but some of that was elimination of all incentive comps and all stock comp. And so if we meet towards the higher end, we would be reinstating some of that.
Andrew E. Crum - Stifel, Nicolaus & Co., Inc., Research Division: Okay, that's fair on both questions. I want to move to the Clubs business and just get an update on what the company's doing to improve sales with that business.
Richard Robinson: Thanks, Drew. We'll ask Judy to address that question.
Judith A. Newman: Drew, well, we've, needless just to say, spent the past year deep -- digging deep into what's going on with Clubs in the schools and what we found out are 2 main trends: First of all, Common Core, as you've been hearing, is about to burst on the scene with back to school in a big way, and teachers are really excited about using clubs and fairs to support their needs for Common Core in the classroom. So that's a big opportunity for us. At the same time, we also heard that parents are looking to clubs and also to fairs as sources for discovery of new titles and to buy books, which was corroborated by the recent Bowker study. So with that kind of wind in our sails, we said, "Okay, what can we do to really focus on our issues [ph] in Clubs and make them the most relevant they can be in this climate?" So we have a big, strategic, exciting change coming out for back-to-schools, which is that we have realigned the catalogs by grade specific. So for example, Arrow used to be fourth, fifth and sixth grade. Now our catalogs will be just for fifth grade. And we've done a lot of testing, a lot of talking to teachers and we know that this is very well aligned with Common Core. Teachers will be able to go right to those fifth grade catalogs and get the books that they need to deliver what they need for their classroom. And of course, parents and kids will be excited to identify themselves as in fifth grade. With all that going on, we are then laser focused on our one issue, our big issue in Clubs, which is increasing revenue per order. And we have events in each catalog. We have special product promotions. And we're trying to make sure that we get as many kids in the class to order each month. So this is a consistent, deliberate and intentional laser-focused attempt to get that revenue per order up each month against the background of a lot of excitement about the new Clubs program going into the fall.
Andrew E. Crum - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And Judy, and maybe Dick, just to follow on that point. The revenue per order has been something mentioned on prior calls, and I think it was mentioned on the last call. Did you see any improvements sequentially going from third to fourth quarter?
Richard Robinson: The same trends were still in place, but we were very much focused on this issue for the next year, as Judy has said. So we want more kids in the class to order. We're giving incentives to everybody to make that happen. We want the parents to be more involved in assisting their kids in placing orders. We've got programs in place to make that happen. This is a wonderful channel that has a long history. It's undergoing some changes, but we're confident that we have the right solutions coming into this current school year to stabilize the revenues, which is our goal for this year, and then rebuild the enthusiasm and support for this channel. Judy, why don't you answer any further questions on revenue per event there.
Judith A. Newman: Yes, I would just underscore the point that there's contact to Common Core out there. We know that teachers and parents are going to be looking to us to get those independent reading books that the kids need in order to achieve the goals set by Common Core. So a lot of our language, a lot of our programs is going to be very specifically focused on getting the parents and the kids to be excited about the books, which they will then need in the classroom, really linking those together. We'll have a lot of monthly promotions and a lot of exciting events to encourage more kids in the class to buy each month.
Andrew E. Crum - Stifel, Nicolaus & Co., Inc., Research Division: Got it, very helpful. And just last question, kind of a housekeeping item. As far as Storia is concerned, any plans to begin disclosing revenue metrics or any additional metrics to help us better understand or assess the progress you're making with that business?
Richard Robinson: Well, as we said, the overall children's ebook market is relatively small. And -- but I think our point here, Drew, is -- and we probably won't disclose the revenues during this year. But I think our point is that this market is going to grow. It's going to expand. We have great titles and I think other than there are few other providers in this area, but they don't have the classic children's books and the children's favorites that people want, particularly the teachers and schools but also the parents at home. And as we see growth in this market, we have made the investment to get the platform ready to provide the infrastructure for selling and customer service, for understanding how people are ordering and how we can make that ordering even simpler and better. So we're confident that we have the platform in good shape. We're adding content as the market grows and people become more familiar with ebooks, particularly in the consumer market. We'll be there in a good position to make sure that, that percentage of revenues that or is going ebook is going to come to us, at least significant part of it. Meantime, the classroom, because of all the tablets going into the schools, teachers are being asked to integrate the tablets into their classroom instruction, in classroom use of independent reading titles. And so we're-- by adding classroom management tools and student information tools in a simple way to our Storia platform, we're customizing it for classroom use. And we think that, that's where a considerable amount of the increased development will come in the current years, in the next 2 years. And that by -- as kids get used to using ebooks in class, there'll be a greater uptick of ebook purchasing in the home. And there will be a considerable amount of school-home interaction and books passing back and forth between the 2 places where children are reading. So we're -- it's a developing market. We're enthusiastic about it. We've made a lot of the investments that are necessary and we're poised to benefit when the market expands.
Operator: And the next question is from Barry Lucas of Gabelli & Company.
Barry L. Lucas - Gabelli & Company, Inc.: I have several and I'd like to start one with a little bit of housekeeping. Maureen, fourth quarter stock repurchases, if any, dollars and shares?
Richard Robinson: Maureen?
Maureen E. O’Connell: I'll have to get you the fourth quarter specifically, but we repurchased $11 million during the year. I'll have to get back to you on the fourth quarter. I don't have that handy.
Barry L. Lucas - Gabelli & Company, Inc.: Okay, that was $11 million, right?
Maureen E. O’Connell: Yes.
Barry L. Lucas - Gabelli & Company, Inc.: Okay. So with a debt-free balance sheet at this point, what are you thinking is the more appropriate capital structure. A relatively mature business doesn't run with -- you really can't generate equity returns without a little bit of leverage. So how are you thinking about that going forward?
Maureen E. O’Connell: Well, as you know, this year, we bought back $11 million in stock, about $16 million in dividends. We invested about $75 million in our prepub, particularly around our Educational Technology development and capital around Storia. And so we will continue to fund our business growth initiatives first and then look to return capital to investors. And so that's an ongoing discussion that we have at the board each quarter. And you can expect us to be continuing to have those discussions.
Barry L. Lucas - Gabelli & Company, Inc.: Okay. Right, let's go to business a little bit. And think, Dick, maybe about what the long-term opportunity for Scholastic is as a result of Common Core. You've had a fairly narrow focus in the past, in the education side. And just how much does this open up for Scholastic? Certainly seems to lower the barriers to entry and potentially make Scholastic more competitive with the McGraw-Hills and Pearsons of the world.
Richard Robinson: Absolutely. And that's what we're trying -- we were describing in the call, a change in purchasing patterns in schools. Schools are -- big districts are trying to accommodate for the Common Core Standards. Instead of their usual patterns of purchasing, which where they go and then look for an elementary math series in one part of the school and an elementary reading series in another area, they're asking providers like us and we're uniquely positioned here to partner with them across the board in coming up with comprehensive solutions to improving student achievement and meeting the Common Core Standards. And meanwhile, because everybody seems to believe that there's an opportunity in digital learning, they're requiring a lot of tablets and they're wanting more curriculum being put on those tablet. So we come with our combination of programs from K-5 reading in print to K-3 -- our new K-2 program in phonics to Read 180 to Math 180. Our service business, which is consulting, which is tech support, which is troubleshooting in the classroom or helping the schools figure out how to make sure that all these programs work better together, assessment and so forth, all in one comprehensive program designed to help that school achieve or that district achieve its goals relative to Common Core with customized learning packages and solutions provided by us. So that is a key opportunity. If you look at our 2 separately reported education segments, Barry, you'll then add up the approximate revenues from those. You will see that we're kind of tied with McGraw-Hill as the third provider following Pearson and Houghton Mifflin already, right? So -- now these opportunities provided by Common Core and digital and our solution-selling capability are putting us right in front of the school districts, as they seek to acquire new materials and new programs and even more broadly, training and so forth and so on. This is a huge opportunity for us. And we believe that -- and you have been a believer in this business, also, that this will give us a renewed opportunity and a terrific one to vault ourselves forward as a major educational resource for schools trying to improve instruction in the Common Core in the digital era. So Margery, you want to add later on that a bit?
Margery W. Mayer: I'm giving my boss an A+ on his answer. I think, Dick, you said it all. I mean, what we're seeing is the schools do not have a lot of loyalty to the old solutions. They're embracive of Common Core. There's controversy, some political controversy in some places, but when you get down to the school level, we see excitement among teachers and principals about Common Core. We've done a lot of research on this. We've done it with our Book Club customers. We're doing it in an independent survey we're doing. And we keep hearing the excitement. It's fresh. It's exciting. At the same time, we know the standards are going to go up. We expect test scores to show that more kids are not operating at a proficient level when the tests do start to hit schools, which may not be this spring. It might be next spring, but schools are anticipating this. And we think that, that further creates demand for our products because we think we're best-in-class at thinking about how do we help our struggling students. So we view this as an enormous opportunity for us. We -- change is good.
Barry L. Lucas - Gabelli & Company, Inc.: Great. And I think actually touched on this and I think Dick touched on it earlier. But it also sounds like somewhat different from the past, that these products that you're bringing to market now have the potential to have a much longer tail than some of the products have in the past, where we've seen these big spikes like when Read 180 Next Gen was introduced?
Richard Robinson: Yes, I think that's true because they've become integrated into the curriculum in a different way. Instead of being special programs with onetime purchasing, they become integrated as a comprehensive part of the school instructional scene and, as such, will be renewed, will be bought further, will be expanded, new .0 releases will be bought. So I think these are 10- and 15-year horizons, Barry, not 1- and 2-year horizons.
Barry L. Lucas - Gabelli & Company, Inc.: Great. Okay, that leads me to my final question and that is, without beating Drew's questions to death, we've got flat revenues for this year and modest earnings improvement, I would say, despite the fact you got a host of new education products and significant work in the trade book area, especially with Fairs up modestly, Books kind of flattish. You've taken cost out across the board, it appears. So what are we missing here, either on the top or bottom line, that would suggest you can do, at least, towards the height of the guidance or if not better?
Richard Robinson: Well, I think Maureen will tackle the bulk of that question, Barry. But we did -- I think Margery indicated the timing of the revenues for this year with the new programs is somewhat of an issue. Because the first quarter, which is normally a time where a significant amount of educational materials are purchased, our programs are coming out during that quarter. So we're confident that we're going to meet the revenue goals but the timing may be a little bit different, so I think that's one issue. And then Maureen will talk a little bit more about the depreciation and other impacts on the bottom line, that maybe you're referring to and trying to figure out why we're not -- why we should at least get to the top end of the range.
Maureen E. O’Connell: Yes, I think another impact on the revenue line is The Hunger Games, which is really different than our previous series. It had a very high proportion of ebook sales. And those sales were fast with a very short tail. And all 3 books were in the market ahead of the movie, and so we didn't see the traditional pop that we would expect from a movie release. We do think that there will be an improvement as the movie is released in Thanksgiving, but not what we typically saw with previous series. So that is one impact. And one thing that we did and we made sure we did is when we had the phenomenal success of Hunger Games, we didn't add any costs. So we didn't go out and hire people or do anything to add cost to support that series. And so as a result, that's some high impact on margins. And as Dick said, the other factors, of course, are our education products rolling out and the impact of prepublication amortization, the depreciation against the digital investments we've made so far. And as I mentioned previously, if we get to the high end of the earnings guidance, we would be establishing bonuses and stock comp. And so that -- those are all factors. And I also have an answer to your earlier question. We repurchased 6 million in shares -- $6 million worth of stock in the fourth quarter.
Barry L. Lucas - Gabelli & Company, Inc.: Great. And is there -- and I promise, this will be the last. But is there any way to size your -- the total D&A which was relatively flat despite the work on the new products. And I assume that, that was not depreciated until you are in the market with the...
Maureen E. O’Connell: Absolutely correct. We don't begin amortization or depreciation until they're launched. And so even though it was reflected in our spending and impacted our cash flow, it's now that we will amortize those products.
Operator: This concludes the Q&A session. I'll turn the call back over for any closing remarks.
Richard Robinson: Thank you, all, for attending our 2013 fiscal year-end call. I think you got the 2 strong themes here of educational growth and Children's Book expansion, fueled by the Common Core and digital. Thanks very much. We'll talk to you in September.
Operator: Ladies and gentlemen, this concludes today's conference. You may now disconnect. Good day.